Operator: Good afternoon, everyone. And thank you for participating in today's conference call to discuss BurgerFi International's Financial Results for the Third Quarter-ended October 3, 2022. Joining us today are Ian Baines, CEO; and Mike Rabinovitch, CFO. Following their remarks, we'll open the call for your questions. Before we begin today, I want to remind everyone this conference call may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements may be related to BurgerFi's estimates of its future business outlook, liquidity, store opening plans, same-store sales and restaurant operating margin growth plans, prospects or financial results, including the projected sales, restaurant EBITDA or financial results from the company's acquisition of Anthony's Coal Fired Pizza & Wings.  Forward-looking statements generally can be identified by words such as anticipates, believes, estimates, expects, intends, plans, predicts, projects, will be, will continue the likely results and similar expressions. These forward-looking statements are based on current expectations and assumptions that are subject to risks and uncertainties which could cause the company's actual results to differ materially from those reflected in the forward-looking statements. Factors that could cause or contribute to such differences include, but are not limited to, those discussed in the annual report on Form 10-K for the year ended December 31, 2021, and those disclosed and other documents that the company files with the Securities and Exchange Commission. All subsequent written and oral forward-looking statements attributed to BurgerFi or persons acting on BurgerFi's behalf are expressly qualified in their entirety by the cautionary statements included in this conference call. The company undertakes no obligation to revise or publicly release the results of any revision to these forward-looking statements except as required by law. Given these statements and uncertainties, listeners are cautioned not to place undue reliance on such forward-looking statements. Also, the following discussion may contain non-GAAP financial measures. For a discussion and reconciliation of these non-GAAP financial measures, please see the earnings release for third quarter 2022. Please note the event is being recorded. I would like to remind everyone that this call will be available via telephonic replay for two weeks starting today. A webcast replay will also be available via the link provided in today's press release as well as on the company's website at www.burgerfi.com. I would now like to turn the conference over to BurgerFi's CEO, Ian Baines. Ian?
Ian Baines: Thank you for joining us today and we appreciate your continued interest in BurgerFi. I would like to begin by thanking our entire team, franchisees and their employees for their dedication and hard work in this challenging environment.  Now, I will recap our third quarter performance and then discuss our current initiatives. Following that, Mike will review the third quarter financials and provide an update on our 2022 guidance.  I'm pleased to report total revenue grew 290% to $43.3 million in the third quarter, compared to $11.1 million in the third quarter last year. The significant increase in revenue over the comparable period was related to the acquisition of 61 corporate-owned Anthony's Coal Fired Pizza & Wings in November of 2021, and the addition of new corporate-owned BurgerFi locations. Anthony's continues to see a sales uptick was increased sequentially through the third quarter and continued into the month of October, where the brand sales were above that of 2019 for the first time since the pandemic began.  Our third quarter consolidated system wide restaurant sales decreased 1% to $70.6 million as we saw a 5% decrease at BurgerFi, which was offset a 4% increase as Anthony's. System wide comparable same-store sales decreased 2% for the quarter, consisting of a 7% decrease at BurgerFi and 3% increase at Anthony's.  We grew adjusted EBITDA almost eight times to $1.6 million in the third quarter compared to the prior year quarter. Bringing our year-to-date adjusted EBITDA to $6.5 million primarily driven by the acquisition of Anthony's. However, as a result of the lower than expected sales of BurgerFi, and various cost pressures due to the current economic environment, we're now projecting between $9 million to $10 million in adjusted EBITDA for the full 2022.  As you know, Hurricane Ian made landfall in our home state of Florida on September 28. All restaurants will reopen within a few days, and we had them all fully operational since. We estimate that hurricanes had a neutral impact on Anthony's sales, as the majority of our Florida restaurants are on the East Coast. However, it had a slightly negative impact on BurgerFi's revenues, as we have a high percentage of sales -- sorry a high percentage of restaurants on the west coast of the Florida market.  I would like to express how proud I am of our teams, and how hard they worked after the hurricane to ensure that our restaurants could reopen quickly so that our guests can enjoy and continue to enjoy our food.  As of October 3, our portfolio consists of 117 BurgerFi restaurants, 25 corporate-owned and 92 franchised, and 61 corporate-owned Anthony's. We did close one underperforming Anthony's restaurant in October. Similar to other restaurants in the industry, permitting and construction delays have affected our franchisee partners' ability to open their restaurants on their original timeline.  During the third quarter, we opened one new franchise BurgerFi restaurant, bringing our year-to-date openings to nine restaurants by the third quarter. We plan to open two more franchises in the coming weeks and our final opening this year is scheduled for late December, for a grand total of 13 locations, 10 franchised and three corporate-owned.  We are also growing our footprint through virtual kitchens. This growth opportunity enables us to further expand and capture a new customer base while building brand awareness, with no capital investments of our own. Year-to-date, we have opened 22 Gopuff Fresh Food Halls with plans to open eight additional locations by year end for a total of 30 Gopuff Fresh Food Halls. These units are incremental to our original growth targets.  By acquiring Anthony's last year, we now have the opportunity to cross-sell franchising across both brands and foster attractive, multi-unit, multi-concept franchise deals. As we look ahead, similar to our growth strategy of BurgerFi, future growth at Anthony's will be focused on asset-light franchise model which facilitates brand expansion without significant capital investment on behalf of the company.  To this end, we are also thrilled to announce we have signed our first multi-unit development agreement for Anthony's with one of our largest BurgerFi franchisees with three locations over the next three years. We expect the initial location to open in the Spring of 2023 as a co-branded location. This franchisee will be incorporating in Anthony's into one of their existing BurgerFi's located in Kissimmee, Florida.  Co-branding is another great opportunity for us to drive sales and leverage margins through combining to the fastest growing categories, burgers and pizzas under one roof. My team has been focused this year on finding well capitalized franchisees with restaurants, retail and hospitality experience. Bringing these operators into our system will result in a more disciplined and profitable growth over the long term. We believe BurgerFi and Anthony's have a long runway of organic growth ahead. And we are in negotiations with several interested parties for both brands. And the pipeline is looking strong for 2023 and beyond.  Looking ahead to 2023 at this time, we plan to open 15 to 20 new restaurants, all of which will be franchised.  Now I would like to update you on some of our other strategic initiatives, starting with BurgerFi. Last quarter, we onboarded a new advertising agency to drive brand awareness. Capitalizing on BurgerFi's unique attributes of quality fresh ingredients on our chef-inspired offerings, I am thrilled to announce it in October in conjunction with a new advertising agency, BurgerFi launched a brand new campaign, Amplify your Appetite to further strengthen our positioning in the better burger category. This new positioning will amplify the unique flavors and quality of BurgerFi's fresh preparation, premium options, and the taste of intelligence without the guilt.  The Amplify your Appetite Campaign marked refreshing of the brand's positioning based on leveraging a better for you all-natural burger experience as a unique differentiator. The tone and messaging of this campaign follows an in-depth customer research study that identifies how guests connect with BurgerFi and what they want into the future.  We also plan to expand our value offerings and LTO program at BurgerFi to enhance the guest journey. In August burger five partnered with a well-known industry chef, Cliff Pleau and launched the Juicy Lucy burger, which ran through September 19. We plan to continue having fun with menu innovation, offering even more variety with new LTO menu items ideal for anyone who wants to reward themselves with a better burger.  Now while sales of BurgerFi were below our expectations in the third quarter, and as a result of lower sales leverage our restaurant level margins continue to be pressured. We believe our enhanced focus on marketing, operations and day-to-day execution will be effective in France leading to stronger financial returns in the coming quarters.  Our guest satisfaction scores continue to improve and we began to see a stabilization in labor, which will lead to better operational performance. And we are confident we have the right plan in place to drive growth for this brand.  Turning to Anthony's, continue to lean into digital marketing and our loyalty reward program to drive awareness. This has been paying dividends as seen in our increase in same store sales. We're also seeing an increase in sales outside of our home market of Florida, where brand awareness is not as powerful. We believe this demonstrates our marketing efforts are resonating with our guests. As a result of this sales improvement, we're continuing to see margin recovery at Anthony's. While our margins have not yet achieved our pre-pandemic levels, we are optimistic that we can improve profitability over the short and long term. We've also begun to see commodity prices ease in some categories, especially chicken wings. We expect this to continue into the fourth quarter and be a tailwind for our margins. Across both brands, we have several digital initiatives underway to improve operations and increased sales, including the continued rollout of self-ordering kiosks, building a loyalty program and enhanced mobile and delivery platforms.  In November, we launched our new app of BurgerFi, which features a better guest experience and offers more benefits to the guests, such as the sale of E-gift cards, amongst other features. In addition, the app contains a prominent link to our Anthony's brand website as part of engaging in our cross-brand marketing possibilities. Technology improvements will also allow BurgerFi to leverage new data and research to grow and elevate the overall guest experience.  Now turning to kiosks specifically, as of today 22 of our corporate-owned BurgerFi and 10 franchise-owned BurgerFis have kiosks available for ordering and we expect more will begin to adopt the technology as time progresses. Kiosks can be a high margin channel as they allow us to market directly to our guests, add on and upsells, ensure order accuracy and redeploy or reduce our labor.  At Anthony's, we have fully rolled out our AI technology phone entering system for those that still like to call in orders. This is especially helpful during our peak periods. Early indications have proven that this is a seamless experience and similarly to the kiosks, we are seeing an uptick in the average check by guests that choose to use this channel.  Before turning the call to Mike, I'd like to share that for the month of November, we joined forces with Marcum LLP, set up by one of the nation's leading accounting and advisory firms to provide Hurricane Ian relief to those in need in southwest Florida. BurgerFi and Anthony's will donate a portion of proceeds along with encouraging guests to dine-in and donate to the Red Cross. Guests are able to add $1 to their meal to BurgerFi or round up at Anthony's and Marcum and plans to match up to $10,000 in donations.  So on closing, we have two very high quality brands that are on trend with the consumer. And we believe we're in the early innings with both brands, since we believe they have significant whitespace for growth ahead. We are laser-focused on enhancing operations and driving sales to achieve profitable growth. Once again, I'd like to thank all of our team members for their tireless efforts and dedication.  I'll turn the call over to our CFO, Mike Rabinovitch, who will provide additional commentary on our third quarter 2022 performance. Go ahead, Mike.
Mike Rabinovitch : Thank you, Ian and good morning, everyone. As a reminder, we acquired Anthony's on November 3, 2021. I will speak to our recorded results, which includes Anthony's for the third quarter of 2022. Additionally, I'd like to remind you that in July, our board of directors approved the company's change to a 50 to 53-week fiscal year ending on the Monday nearest to December 31 of each year, in order to improve the alignment of the financial and business processes following our acquisition of Anthony's.  This change is reflected in our fiscal third quarter financials ended October 3. As a result, our current fiscal year will now end on January 2, 2023.  Let me start by discussing our financials in greater detail. Third quarter total revenues were $43.3 million, increasing 290% from $11.1 million for the same quarter last year. This increase was due to approximately $31.5 million of sales contributions from Anthony's which was acquired late last year.  Shifting to our segments' results for the third quarter. The BurgerFi corporate-owned restaurant sales increased $300,000 or 4%, to $8.8 million for the third quarter of 2022, compared to $8.5 million in the same period in the prior year, driven by the addition of new corporate-owned restaurants over the last year partially offset by a decline in same store sales.  BurgerFi system wide same store sales decreased by 7% for the quarter, compared to 2021. For corporate-owned BurgerFi, same store sales decreased 11% and franchised restaurant same store sale decreased 6% versus 2021. System wide sales for BurgerFi in the third quarter decreased 5% $39.1 million, compared to $41.4 million in the year ago quarter, primarily due to the decline in same store sales partially offset by new restaurant growth.  BurgerFi's restaurant level operating expenses increased 370 basis points to 93.4% for the quarter, compared to 89.7% in the prior year second quarter, primarily due to lost leverage on fixed costs due to the same store sales declines.  Turning specifically to Anthony's. Restaurant sales were $31.5 million in the third quarter compared to $30.4 million in the prior year. This increase was driven by a 3% increase in same store sales when compared to 2021.  Turning to restaurant profitability, Anthony's restaurant level operating expenses improved 210 basis points for the quarter, compared to the prior year third quarter. As Ian noted, we are beginning to see a stabilization of commodity costs, especially chicken wing prices, and expect margins to continue to improve in the fourth quarter. Our third quarter results also included $2.6 million in employee retention tax credits, made available through the CARES Act legislation. On a consolidated basis, we reported a net loss of $3.3 million in the third quarter, compared to a net loss of $5 million in the year ago quarter. The change is primarily due to the employee retention tax credits, partially offset by the net operating results of Anthony's.  Adjusted EBITDA in the third quarter increased 755% to $1.6 million compared to approximately $200,000 in the year ago quarter. This year-over-year improvement was driven by the acquisition of Anthony's.  Moving to the balance sheet. Our cash balance at October 3 2022, was $14.1 million compared to $14.9 million at December 31, 2021.  Moving on to our fiscal year '22 outlook. We are updating our expectations for the full year. Our 2022 guidance is as follows. Total revenue of between $175 million to $180 million, which assumes a low single digit increase in same store sales for company-owned restaurants, and the addition of 12 to 13 new restaurants, three corporate-owned and nine to 10 franchises, as well as up to 30 BurgerFi, Gopuff ghost kitchens this year. Adjusted EBITDA of between $9 million and $10 million, and we're expecting capital expenditures to be approximately $2 million for the full year.  With that, operator, please open up the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Peter Saleh from BTIG. Please go ahead.
Peter Saleh : Great. Thanks. And good morning. I just wanted to circle back a little bit on the -- maybe the hurricane impact. I know you guys said it was a neutral impact on the Anthony's slightly negative impact on BurgerFi. Any way to tease out or quantify how much of an impact on BurgerFi sales and just curious if I had any other impact on costs with labor? Anything of the sort that we can -- we should be aware of this quarter?
Ian Baines : Sure, Peter. I'll try to provide a little color. On Anthony's, our stores -- although we still have 28 stores in Florida. They're really well dispersed. And so, although the store the Anthony's locations in the west coast and around Orlando had some impact and being closed for a few days, we saw an uptick in other restaurants in other geographies as people migrated away from the storm and enjoyed the Anthony's product to call it in Miami or Palm Beach.  So that was almost call it a neutral effect. I would say that there's probably a very small amount of food that might have had been wasted in a few locations. On the BurgerFi side though, we don't have the same math in terms of -- I think we had about six restaurants between Tampa heading south to Naples. And so they were impacted from anywhere from two days to six days. They certainly had to throw out some of their food and reorder as well. We didn't see that they move over to the rest of the brand.  But I don't think that it quantified up to be a notable change in our sales. I don't think that it would have exceeded a 1% impact or a 2% impact in the quarterly decline. So if it was a thing the team worked hard to try to stabilize it certainly an influencer but not a driver.
Peter Saleh : Understood. Okay. Very helpful. Can you help us understand maybe for BurgerFi and Anthony's maybe some of the components of same store sales here? How much pricing traffic mix were in the comps in the quarter?
Ian Baines : Sure. So if you're looking at Q3 versus Q3 in the prior year, both brands had taken increases in December, which is past the prior year Q3, and then again in June of 2023. So both brands had price. I'd say from a BurgerFi perspective, it would be low double digits, maybe 10% to 12% on a cumulative basis between those two price increases on the Q3 to Q3. And on Anthony's probably 6% to 8% -- 6%?
Mike Rabinovitch : Yeah, 6%.
Ian Baines : 6%. So both brands had price lift. But on a transaction perspective, BurgerFi continued to have the clients and traffic count versus the same time last year. Last year, we were enjoying Florida as a haven for other markets throughout the U.S. that were in a more closed restricted manner. So we had a little bit of a bump in in traffic and activity. But even without that, our transaction counts were down.
Peter Saleh : Okay, and just any way to - just give us a sense on where BurgerFi is relative to 2019 sales. And I know you guys mentioned that you're starting to see some uptick, at least for Anthony's in the month of October. Are you seeing any improvement on the BurgerFi side as well?
Mike Rabinovitch : Yes. Give me just one second here. Versus '19 BurgerFi's negative same store sales is very similar to the trend that we have versus '21. Because '21 -- because of that phenomenon we were enjoying with the consumers coming to Florida. BurgerFi was actually flat 2019 this time last year. So our decline versus '21 at BurgerFi on the same store sales is very similar to 2019.  On an Anthony's basis, Anthony's had not recovered in 2021. And we're seeing that continual recovery through this year. The month of October is the high point for Anthony's versus 2019 in that we returned positive. But we did enjoy a small benefit of calendar shift with Halloween, falling into this fiscal October versus prior but we don't think that that was worth more than a point. So even without that. We're very pleased with Anthony's performance in the month of October.
Peter Saleh : Great, very helpful. And then just maybe a couple more. Just can you talk a little bit about the Anthony's franchising deals? Nice to see that announcement. You indicated you'll be adding the menu to the BurgerFi location? Just trying to understand how that's going to look, what is the investment required there on the franchisees par? And if you could just give us a little bit of sense on the royalty rate marketing contribution? Any sort of details around that initial agreement?
Mike Rabinovitch : Okay, sure. First, let me frame for you and the other listeners the strategy. When we acquired Anthony's we acquired it with a lens to grow through franchising. Anthony's in order to begin franchising, we needed to do several administrative things. One of them was create and file a Franchise Disclosure Document, that document was finalized late this summer in June-July. We also had to create training materials and operations manuals that are -- and able to be deployed to any existing or new franchisee that would want to launch an Anthony's.  And as we mentioned earlier, we were working on and perfecting a smaller format with an easier to use of it. And so, all those pieces came together. Now we have a great existing franchise network at BurgerFi. And so one of our longstanding franchisees stepped up and as you notice is the first and in a lead Ian remark on how that's being deployed in the location. Go ahead, Ian.
Ian Baines : Yes, yes. So it is a three restaurants deal is via Chad [ph]. The first one though, is a little different in that the franchisee is taking one of his existing BurgerFi locations situated in Kissimmee. This is a good performing location for BurgerFi franchise, and adding some additional space because it has the capabilities to do that, not a significant amount of space, about 1,000 square feet.  And putting in, the guest and coal-fired item and everything else that is needed to produce the Anthony's menu. But the way that one is going to work is primarily for pick up and take out. That is how we're going to present to the guests that come in there. However, those guests that come in and choose to then take that piece from one of the tables, they're going to be able to do that.  So it's very efficient in terms of the use of space. We already have a really great awareness in the Orlando market, because Kissimmee's location is a long way from the other locations there. So not worried about any kind of cannibalization for the existing Anthony's.  The investments -- we have haven't done it. We haven't completed it yet. It's probably open in the spring of next year. But we think in the range of $150,000 to $200,000 investment. So, significantly less than a full Anthony's. So that's that location.  The intent on the other two locations was, they would be more of a freestanding, smaller unit that Mike talked about, not tied directly into one of its existing BurgerFi locations. And we have another BurgerFi franchisees expressed an interest in this -- that first format that I talked about. So, yeah, we're thrilled. This particular franchisee is one of the earliest franchisees of BurgerFi. And just a terrific operator. And from the very beginning, after the acquisition the excitement in some ways, getting involved with Anthony's. Because she's been a follower of Anthony's for many, many years since she's going to be based here in Miami. 
Mike Rabinovitch : Peter to your question about the loyalty and brand fund rate. I was looking here in my notes. I don't have them specifically. So I don't want to say the wrong exact number, but they're directionally very similar to the BurgerFi Economics. From memory, I just don't remember if that particular deal was exactly at 5.5% or 5%. And, and the brand fund could be very similar. So if I get that information before the end of the call, I'll provide it. But let's just start with, it's very similar to the BurgerFi economics.
Peter Saleh : Thanks, very helpful on that front. Can you just remind us with this is the -- will there be any royalty abatement or any like, I guess, maybe a pause or not collecting the royalties right at the star? Or does the agreement call for them to be paying royalties and marketing from day one?
Mike Rabinovitch : From day one. 
Ian Baines : From day one, yeah.
Peter Saleh : Okay, great. Thank you for that. And then just on the BurgerFi the change in ad agency, and looks like you guys with the new campaign, you launched a bundle. Can you talk about the economics there? Have you guys done this in the past kind of launching something like a bundle like this? How does this work, or is this accretive to margins dilutive? How do we think about this? And what has been the initial response? I know, it's been maybe several days or a week or so?
Ian Baines : Peter, it's good question. So the place that the management team in the agency came from here is, with everything that's going on in the market, with the consumer, having pressure with inflation and the cost, the cost that restaurants have had to absorb and pass through to the customers, we wanted to create an opportunity to drive traffic, and transactions and frequency.  So the team experimented in one of our markets in one of our stores, three or four different value propositions for the customer. The one that ultimately drove, the best combination of impact was the program that we've launched, where the customer can essentially bundle with their on tray aside and a drink for a discounted price. And we looked at, what is that going to do, not only to the average sale and the attachment rate of sights [ph] and sodas or other drinks, on the people who take advantage of the promotion, but what does it do to the existing base of people that were doing sights.  And what we saw was we had good outcomes from a number of attachments and therefore a number of transactions. We then -- and so from a from a dollar profit perspective, it was not in that one test, which was not commercially advertised. It was in a restaurant and in market opportunity. We saw attachment rate lift of sights and beverages of between 10% and 20%. And that that in the totality will be able to drive transaction values in stores.  Now, once we bundle that, that transactional behavior in the store and in delivery, where we saw really good outcomes in delivery. Because now delivery, there's a value opportunity to as a beverage. Now that we've backed it up with commercial, it gives the customer a reason to come back in and frequent BurgerFi, because now there's a value proposition for them.  So the thesis was both attachment and average check totals with having a value proposition to drive consumer behavior into our restaurants. And so that's launching now and we're very hopeful.
Peter Saleh : Okay, maybe just one more on my end, and then I'll pass it along. Do you anticipate that this will be a permanent fixture on the menu, or is this an LTO at this point?
Ian Baines : Well, we did, we did the test in the one market, and we were pleased with the outcome. And I think we're going to learn here between November -- and the end of November and December, what this is doing with our business. We certainly want to make sure that it's a good, a good initiative. And if it is, then we would look at something more permanent. But we're in that evaluation page -- evaluation stage. 
Peter Saleh : Great, thank you very much.
Operator: [Operator Instructions] Our next question comes from [Indiscernible] from Drexel Hamilton. Please go ahead.
Lynn Orenstein: Hi, it's Lynn Orenstein from Drexel Hamilton. Thanks for taking my question. And congratulations on the strong pipeline of franchisees. And I do have a question regarding the pipeline, can you tell me approximately how long it takes for a target in the pipeline, to sign a development deal and open basically, like from beginning to end? Do you have a general timeframe? Thank you.
Mike Rabinovitch : Good morning. It's nice to hear from you. I'm going to start with from the middle to the end. Once a franchisee has executed their development agreement, if they have a site pre-selected, if they have a lease pre-negotiated, you could be looking at a 12 to 16-week cycle to procure and build an open a restaurant. Every situation is different if it's a second generation spot that's ready, versus one that needs to be constructed by the landlord.  So we see from development agreement, signing to opening, we could see anything from three and a half months to six months depending on where the individual location stands with its construction and readiness from a landlord perspective.  Now the timeline from meeting a franchisee, to signing a development agreement, it could be under 30 days, it could be six months. And a lot of it really depends on that franchise's enthusiasm, readiness from a financial perspective, operating experience, their own decision on where to be investing a lot of our franchisees or potential franchisees has many choices in the market. So, I hope that's not too broad of a statement. I'd say six months to one year.
Ian Baines : And then there are time that can depending on the market that can be permitting issues, not anything wrong, but it takes time, depending on the municipality. And then and hopefully, we're starting to move off these issues in terms of construction, materials, equipment, which seems to be gradually getting better. 
Ian Baines : And let me clarify if the question was framed off of how we view our pipeline for next year, those are not potential franchisees. Those are signed agreements, with locations identified with some level of progress being made on their execution towards opening.
Lynn Orenstein: Yes, and thank you so much for that answer. Perfect.
Mike Rabinovitch : All right.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ian Baines for any closing remarks.
Ian Baines : Thanks. I'd like to thank everyone for listening to today's call. And we look forward to speaking with you when we report our fourth quarter and year-end result in March 2023. And thanks again for joining today. Bye bye. 
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.